Ulrich Hadding: Thank you, Alan, and welcome, everyone. We very much appreciate that you are taking the time for this Investor and Analyst Call on the results for Q3 2021. You can find today’s presentation on our Investor Relations Web site, ir.sma.de. This conference call is scheduled for 40 minutes and will be recorded. The replay will be available for seven working days. After the presentation, I will be happy to answer your questions. I will start with a review of the financials before presenting current developments. At the end, I will provide you with an update on our expectations for the fourth quarter and full year 2021. I expect my presentation to last about 20 minutes. I refer to our disclaimer on Page 2 and here on Slide 4, you'll find a summary of the key financials for the first three quarters 2021.  After three quarters, you can see that revenues in our Home Solutions and Large Scale & Project Solutions segments grew compared to the first three quarters of 2020. Business Solutions revenues, which were affected by the COVID-19 crisis in the first half of this year, improved slightly in Q3 compared to Q2, but remained below last year's level and are hampered by material shortages, which affected all three segments in Q3.  In total, SMA's revenues were a little below last year's level, but profitability continues to be much better compared to last year. I will provide you with more details on our financials for the first three quarters in the next slides. If you have a look at the table in the bottom right corner of this page, you can see that our Q3 2021 sales were higher than in Q1 and Q2, mainly driven by a strong quarter for our Large Scale business.  Q3 sales for our Home Solutions segment were a bit lower than in the previous quarters, partly due to supply constraints, but also due to a portfolio gap, which we plan to close in 2022 with the launch of our hybrid inverter. Gross margins were slightly lower than in the first two quarters of this year, due to the higher proportion of large scale sales and higher material and freight costs. Let's please turn to the next slide and I’ll provide you with more insights regarding our sales performance. With net sales of €745 million, SMA's revenues were 4% lower than in the first three quarters of last year, which is attributable to effects from the COVID-19 crisis and material shortages. Our Home Solutions segment grew its revenues by 5% in the first three quarters, with sales growth in our EMEA and Americas regions more than offsetting for a decline in the Asia Pacific region.  Revenues in our Business Solutions segment declined mainly due to postponed projects as a result of the COVID-19 crisis and material shortages. Our Large Scale & Project Solutions segment increased sales year-over-year by 3%, despite effects from material shortages and projects shifted to next year.  Looking at the regions, EMEA remained our largest region in terms of revenues in the first three quarters with €386 million, which represents 50% of SMA's global sales. In this region, our Home Solutions achieved double digit growth, but our Business Solutions and Large Scale segments declined compared to the first three quarters of last year. Revenues in SMA's Americas region grew compared to the first three quarters of 2020 driven by strong growth of our Large Scale segment in the U.S. With €258 million of revenues, the Americas region represents 34% of our sales. Our Asia Pacific region represented only 16% of SMA sales and revenues declined compared to the first three quarters of 2020.  Now let me walk you through the sales per segment on the right side of this slide. Our Home Solutions segment, which has consistently delivered strong sales and profits, achieved revenues of €240 million in the first three quarters, growing by 5% compared to the same period last year. For this segment, Germany and the U.S. delivered the highest revenues and grew their revenues by double digits compared to the first three quarters of 2020. Revenues in our Business Solutions segment declined by 22% in the first three quarters as a result of COVID-19 effects and material shortages affecting several key markets. The top markets for the Business Solutions were also Germany and the U.S., while Italy, the third biggest country for this segment, more than doubled revenues compared to the first three quarters of last year. Incoming orders were much higher for this segment over the last month. But due to the difficult supply situation, our conversion of orders into sales takes longer than usual. Finally, our Large Scale & Project Solutions segment grew revenues to €355 million in the first three quarters compared to €345 million in the same period last year. The U.S. remains our biggest market for our Large Scale business, representing more than half of the total segment sales and grew revenues by 8%. Australia is the second largest market for this segment. And after a strong third quarter, sales are nearly 3x higher than in the first three quarters of 2020.  Now let me update you on our profitability over the first three quarters. For the first three quarters of '21, SMA generated an EBITDA of €53 million and an EBITDA margin of 7%. EBITDA was solid in Q3 and the gross margin of 20% remained on a good level, despite the high proportion of large scale sales and higher material and freight costs in the quarter.  In the first three quarters of '21, SMA's results included both positive and negative one-time effects of low magnitude and the net effect was approximately plus €1 million. Depreciation remained on the same level as for the first three quarters of last year. There were no unplanned depreciations in the first three quarters of '21.  And now let's have a look at the segments in detail. Home Solutions. Our Home Solutions segment continues to be very profitable. EBIT in the first three quarters of '21 was €39 million, which represents a strong return on sales of 18% for this segment and EBIT twice as high as it was in the first three quarters of last year. The positive development continues to be driven by product portfolio improvements and stable prices in the residential market segment. In our Business Solutions segment, EBIT was negative in the first three quarters due to the low level of revenues as I already explained. The Large Scale & Project Solutions segment had a significantly improved third quarter, but results remained slightly negative through the first three quarters mainly as a result of increased material and freight costs. Now, I will move on to the balance sheet and net working capital on the next slide. At the end of the third quarter of '21, our net working capital increased to €277 million or a ratio of 28% as compared to a balance of €211 million and a ratio of 21% at the end of 2020. The increase is attributable to the increase in our inventories and trade receivables as well as decreased trade payables per end of Q3.  Going more into detail, you'll see that finished goods inventories increased by €19 million since the beginning of '21 and raw material stocks increased by €5 million. The build-up of finished goods is related to the strong order pipeline, especially for our Large Scale & Project Solutions and Business Solutions segments. The increase in raw material stocks results from our efforts to mitigate effects of supply constraints.  Trade receivables increased €242 million at the end of September as a result of the increased level of sales over the last month. Trade payables of €126 million at the end of September are €18 million lower than at the end of last year. This is partly due to lower purchasing volumes over last weeks due to delays in our supply chain and the normal development during the year since APs tend to be higher at the end of the year due to the holiday period. Now let's have a look on the Group balance sheet on the right side of this page. In the balance sheet, the most significant changes since the beginning of this year are related to the development of the net working capital positions, which I just summarized. As a result of the increase of NWC, our total cash decreased to a balance of €178 million euro at the end of Q3. In Q4, we expect liquidity to increase driven by optimization of our net working capital and positive one-offs, including VAT reimbursements.  Our equity ratio of 43% at the end of September remained on a solid level and increased compared to the end of 2020, thanks to the positive results. The decrease in provisions since the beginning of 2021 is partly attributable to reduced general factory warranty accruals as a result of improved quality parameters for our products.  Let's now have a look at our cash flows on the next slide. Over the first three quarters of this year, SMA generated a positive gross cash flow, which continues to outperform last year's level through the first three quarters. This is mainly driven by our positive net result adjusted for non-cash effects, such as depreciation and amortization.  Despite the increase in net working capital, our cash flow from operating activities was also positive and our adjusted free cash flow was only slightly negative, which is a significant improvement compared to the first three quarters of last year.  So let me now summarize our financial performance during the first three quarters of 2021 for you. Despite headwinds from COVID-19 and ongoing supply constraints, SMA delivered solid sales and increased its profitability. Our good results also produced a positive cash flow from operations.  SMA's balance sheet structure remains solid with an equity ratio of 43% and net cash balance of €169 million and a debt to equity ratio of 1.32. As mentioned in our last calls, SMA renewed its syndicate loan earlier this year, providing us with a credit line of up to €100 million if required. This concludes the detailed review of our financials for the first three quarters of this year.  We are not going into market estimates and deliberations as those have not very much changed since our last call and will only have you making -- will want to make you familiar with some current developments. As mentioned before, the supply situation for our electronic components has worsened significantly in Q3 with cancellations of firmly promise delivery quantities. We expect this strain situation to continue over the next month.  Although we are working closely with our suppliers to minimize the effects on our delivery capacity, we assume sales and profitability to remain below our initial expectations. As a result, the SMA management and Board had adjusted its full year sales and earnings guidance in September.  Looking ahead, SMA's long-term prospects are very positive. Current studies underline the enormous growth potential for renewable energies. In order to decarbonize the global economy, we have to drastically reduce the burning of fossil fuels and to make electricity from renewable sources and green hydrogen our main energy sources.  A prerequisite for this is the electrification of additional sectors, such as heating and mobility. The consulting company DNV predicts that electricity’s share of global total energy demand will double from 19% to 38% within the next 30 years, and that by 2050 solar and wind energy could account for 69% of grid connected electricity power. Bloomberg New Energy Finance has calculated that to decarbonize the electricity sector, up to 455 gigawatts of new PV capacity and up to 245 gigawatt hours of battery storage capacity would additionally need to be installed annually on average by 2030. For PV installations alone, this would mean the current market size to triple.  The political framework for decarbonisation is currently negotiated at the UN Climate Summit COP26 in Glasgow. Current political developments are also very promising in our home market Germany. The topic of climate change is high on the agenda for three political parties that have expressed their will to form the new federal government until Christmas.  They have proclaimed to make it their joint mission to drastically accelerate the expansion of renewable energies and remove all obstacles and hurdles. According to our calculations, at least 15 gigawatts of new photovoltaic power must be installed in Germany every year in order to achieve Germany's climate targets, 3x the current amount.  This brings me to our guidance and expected developments for Q4 2021 and 2022. Order backlog, looking at the right side of this slide, you'll see that our order backlog increased to a very high level with €922 million at the end of the third quarter of '21.  Our strong product order backlog of €430 million at the end of September includes key projects for our Large Scale business as well as a good level of orders for our Business Solutions segment. Our service order backlog remained on the same high level from the end of H1.  On the left side of this page, you can see that our Large Scale & Project Solutions order backlog for products has increased to nearly €300 million and our total product order backlog is well distributed across our three regions. The strong order backlog will be only partly converted to sales in Q4 in part due to the ongoing material shortages and projects postponements. As such, our product order backlog sets up well for the beginning of next year.  This brings me to our 2021 guidance on the next slide. As demonstrated by our strong order backlog, demand for SMA's products remained strong and we are working around the clock to mitigate the effects of the supply shortages on our revenues. Nonetheless, we expect fourth quarter sales to fall below the Q3 revenue level due to challenges from the supply situation and projects getting postponed to 2022 as a result of increased module prices.  Based on this, the SMA Managing Board expects revenues in the lower half of the adjusted forecast of €980 million to €103 billion and EBITDA at the upper end of the adjusted guidance range of €50 million to €65 million for this year.  We acknowledge that these figures are somewhat disappointing when compared to our original guidance. However, you will hopefully agree in the assessment that the reasons for the deterioration are foremost of external nature. Therefore, and despite planning for 2022 is not yet concluded, we want to give you already today a hint on our revenue expectation for next year.  As I said earlier, the first half year of 2022 will still be affected by supply constraints and far from normal conditions in the logistics area. But for the second half, we expect the revenues level to recover and currently plan to grow revenues by about 10% for the full year and thereby to continue the development SMA has taken in the years 2019 and 2020. Now let's turn to the last slide of today's presentation. SMA is a truly sustainable investment, not only because we are operating in an industry that is key to decarbonizing our way of life but also because we are doing business in a sustainable manner and have integrated the goal of holistic sustainability at the center of our corporate strategy.  This is also mirrored in our excellent ESG scores. We have received recognition for our ESG performance in meeting sustainability ratings. In addition, we have been nominated by an expert jury for the group of finalists for the German Sustainability Award 2022, the largest and most prestigious in Europe. And last but not least was our business activities we are contributing to 9 of the 17 UN Sustainable Development Goals. This is why if you trust solar, there's no way around SMA.  Now, I am happy to take your questions.
Operator: All right. We'll take our first question from Constantin Hesse with Jefferies.
Constantin Hesse: Hi, there. Thank you very much for taking my questions. Good afternoon, everyone. Three and a half questions from me. So the first one just regarding Q4, can you maybe just elaborate a little bit on the key cost headwinds? And by that, I mean the impact that you are seeing from these higher logistics costs and how many basis points this is really costing you? And to what extent you have been able to pass through these via pricing. So that's my first one. Let's just start with the first one.
Ulrich Hadding: Yes. Hi, Constantin. With regard to the higher sourcing costs, that is, of course, material, especially for electronic components, but also freight costs. And what we see now coming up is energy costs. Starting with the last one, that is actually neglectable. Energy costs do less than 1% of our overall cost base. So there is an increase. We manage that. We also hatch that to some degree. That's not really the problem. The freight costs are far from normal, as I already said. And we think that this is going to continue throughout Q4 and H1 of 2022. And this goes up to sometimes even 10%, but not on an overall comprehensive basis. It’s just from time to time we are running into situations that are somewhat awkward. The same is true for the supply costs. Whenever you have something to order on short notice, the costs are much higher at this point in time on an overall basis up to more than 5% higher. At this point in time, the market is penetrable with regard to getting that down the value chain. So cost in price increases have been accepted by the market throughout the entire product range. And we have been able to manage the deterioration of our margins due to those higher sourcing costs to a minimum. Whether this is going to continue next year is the big question mark for 2022, which is also the reason why I'm not going to be more specific on our profitability expectation for next year at this point in time.
Constantin Hesse: Just to confirm, did you say freight costs is about 10% of the cost base? Or did you say loss was 10%?
Ulrich Hadding: No. Sometimes we see normal prices increase. If we look on the entire cost base, we see that to have increased, meaning including costs -- including freight and sourcing costs at about 5%.
Constantin Hesse: Okay, perfect. Thank you. The next question is regarding the business segment. So looking at the order intake in Q3, it seems to have cooled off a bit compared to the increase in Q2. So maybe just share some words on that and when you actually plan to launch a new product in that segment? And a similar question to the order intake in the utility segment, right. The increase was actually pretty massive compared to last two quarters. Do you actually see this as sustainable going forward? Thanks.
Ulrich Hadding: Yes. With regard to the order intake in our business segment, we have seen the pattern that I already described in our last calls. The medium business is our least one to really go into new investments, are the most effective one by COVID. And that seems to recuperate now, at least the last two months show into that direction. We certainly expect another boost for our order intake in the business segment once our new product platform will be launched. It will hit the market in quarter two of next year. With regard to utility, we think that the order intake which is especially noteworthy for the U.S. and Australia will continue to be on that level. With regard to Europe, our expectations have been somewhat frustrated. And here we are not that sure whether we could hit higher numbers as originally thought. But on an overall level, we see that to be continuously strong business for us.
Operator: Okay. Moving on, we will take our next question from Guido Hoymann with --
Guido Hoymann: Sorry.
Ulrich Hadding: Constantin, you had another question?
Operator: I'm sorry. We already moved on. [Operator Instructions].
Guido Hoymann: Okay. So can you hear me now?
Operator: Yes. Guido Hoymann from Metzler, your line is open.
Ulrich Hadding: Okay. We’ll take Guido questions first and get back to you, Constantin, in a second.
Guido Hoymann: Yes. So three questions from me please. First is on the positive ASP trend. Do you think this is a reflection of the current capacities [ph] or is it just the supply or demand result to competitors are starting to act more rational or maybe last interpretation could be that you are actually hearing your [indiscernible] resources into the more profitable products and so improving your business mix internally? So what would be your explanation for the ASP trend? And quickly also the question, do you think it could last?
Ulrich Hadding: Yes, understood. I think it's a mixture of all three. Certainly, the flat prices and sometimes even increased ASPs that we see for most in the residential area are not only like a result of the higher sourcing costs being leading to higher ASPs, they are also a consequence of, as you put it, the market becoming more rational. And with regard to SMA, which does also see higher ASPs for the residential area for our Home segment, it is also a consequence of internal optimization and the consolidation of our product portfolio. The question that you put up is, how is this going to continue once the sourcing prices go down again, or get normal again, and will we then hold this high level of ASP, so flattish development. We believe that we won't, that the prices will go down again. However, at a pace that is less severe than it has been throughout 2020. For the other two segments, we also see rather stable prices. Utility is almost stable. Business segment is still going down, which is normal due to the overall market conditions. We see that the highest sourcing costs can be channeled through the value chain. We expect that to end the moment that especially freight costs are normalizing again. And we still believe that the market size will not allow us to raise prices continuously from time to time in one region or for another product that may be possible. But on an overall scale, we see prices also in the other two segments to go down slightly in the years to come. However, at a more rational rate than we have seen in the past.
Guido Hoymann: Okay, perfect. Thank you. And then maybe a question two and three in one-go. So the first one would be I think you mentioned this potential tripling of the demand in the future, which I share this view and come to the same ratios. And maybe we have asked this question earlier, but again what are your capacities -- your ability on your capacities, like how could you expand your capacities, say, in a period of two or three years time? And the last one would be maybe a little bit obnoxious. So you're saying in your outlook that you expect the shortage to last into H1 2022. So to what made [indiscernible] about things to change in H2? So do you have any indication or is it rather, say, the general market view regarding freight rates, et cetera, producers, or do you have specific indications for things to turn better in H2?
Ulrich Hadding: Yes. Thank you. First of all, with regard to our capacity, we expect to produce about 13.5 to 14.5 gigawatt this year. We could, just by exploiting the full capacity of our currently installed resources, produce up to 21 perhaps even 22 gigawatts. So for the growth to come in the next two to three years, we are already supplied. We nevertheless already plan today to expand our production capacities in due time. And therefore, we see at least for the inverter base not those many difficulties in hitting, even tripling demands in the coming years. While this will be, let's say, true for all regions, looking on the distribution of the inverter manufacturer segment is something that I cannot answer for the entire industry. But for what we see as our market share and our addressable market in the future, we see no difficulties in meeting those demands. And with regard to your second question, it is as you put it rather the general market view that gives us the conviction that H1 will still be difficult. We are also, let's say, a little bit motivated by the fact that we will have product innovations coming up in the next year, starting especially in Q2 and then taking effect in the market in Q3 and Q4. But for most driven by, let's say, the overall assessment that is more or less shared by the entire industry that H1 will still be heavily affected. But most importantly, the market demand does not deteriorate. Even in this difficult year, the overall market demand has stayed stable. So it is more a question of to manage supply chain and to manage the product portfolio and the availability of products, et cetera. Demand is always there and will increase also in the coming year. So that's the overall environment in which we find ourselves. And our assessment led us to the fact that we will see pickup, compensating demand and compensating business in Q3 and Q4 for a rather weak H1.
Guido Hoymann: All right. Okay, very good, very clear. Thank you.
Ulrich Hadding: Thank you, Guido.
Operator: So we will not go back to Constantin Hesse for that follow up.
Constantin Hesse: Hi, there. Can you hear me?
Ulrich Hadding: Yes, I can.
Constantin Hesse: Sorry about before. I was muted and my question didn’t come through. I was just going to do a follow up very quickly just on the commentary you made that the utility orders were sustainable in the U.S. and Australia but less so in Europe. So I was just wondering how much of the order intake is actually U.S. and Australia?
Ulrich Hadding: That's more than 80%. So the European market is comparatively lower -- of low importance to SMA. Europe is our home base for the string inverter business, meaning for home and business, for residential and commercial. For large scale, our markets are the U.S. and Australia. That's more important.
Constantin Hesse: That's perfect. And then just another one very quickly on the profitability for the next three quarters. Looking at -- based on your commentary, if you deliver revenues on the low end of the sales guidance but you reach the high end of the EBIT guidance, we're talking about margins of about 1.5%. Is that a fair assumption going forward, at least for the next three quarters, because of these headwinds you're having, the profitability level, so about 1.5% at EBIT and about 5% at EBITDA?
Ulrich Hadding: I wish I could answer that question, Constantin, because it has never been more difficult to really predict how this market is going to unfold. For Q4, I think we have visibility and that gives us confidence to tell you that we will end up at the upper end or in the upper range of our guidance. That is mostly due to, let's say, our cost saving measures and it is depending on how December is going to work. And December nobody can really predict whether that you have push out in the last weeks or whether you have all of a sudden opportunities in the last week, which gives you 20 million more of revenues. That's depending on that. But beyond that, Q1 and Q2, it is really about who is going -- how is the market going to act. Guido Hoymann talked about irrational behavior of the market, competitors. Sometimes that is really to be seen. And if you have big margins, you can just count on having those big margins being eaten up by the highest sourcing costs and not passing that through to your customers. That would put us into a difficult situation in some markets. I am personally rather positively minded with regard to ASPs because SMA has a tradition of being too conservative in that regard. And we seem to be, let's say, too not bullish enough when it comes to really challenging the market. And therefore, I think that we will be able to keep the level of profitability of Q4 into the overall profitability of 2022 -- sorry, the profitability of this year into next year, despite the headwinds that we will have in H1. But how H1 will unfold in comparison to H2, it's too early to say.
Constantin Hesse: That is absolutely fair enough. Thank you very much. Just lastly maybe and just a quick word on market share in Europe, U.S. and any words or any developments around ShadeFix in the U.S.
Ulrich Hadding: Yes, no developments in that regard. We are still preparing our case with regard to more scientific evidence to be given to the market and are preparing, let's say, a comprehensive campaign regarding ShadeFix on the basis of our new residential product, which will be launched in about a year in the U.S. market. So don't expect us to be very noisy on that front end, but also no other developments. It's neither being embraced by the U.S. market nor it is rejected. It is just a matter of still being in discussion. And we certainly expect it to still do great things for us once we more aggressively act on the U.S. market.
Constantin Hesse: That's perfect. Okay. Thank you very much.
Ulrich Hadding: You’re welcome.
Operator: All right. We'll take our next question from Jeff Osborne with Cowen & Company.
Jeff Osborne: Hi. Good afternoon, Ulrich. A couple of questions on my end. Just a few housekeeping here. Could you give us what the trading revenue was as well as storage for the quarter?
Ulrich Hadding: Yes. Good morning, Jeff. Thank you for joining us again at this early hour. To your question, with regard to the Q3 business, the part of our trading goods were -- just give me a second -- 11% with regard to trading goods in Q3 and 12% over the year. With regard to batteries and battery-related products, I should rather say, because we don't have that much batteries at all, it has been 8% in Q3 and 10% year-to-date.
Jeff Osborne: That's helpful. Just a couple other ones. You mentioned the gap in the product portfolio around the hybrid inverter. What you're referencing there, is that the integration of batteries, EV charging and solar, sort of the German equivalent of the Swiss Army knife for inverters and power electronics all in one, or is it something else that you’re referring to?
Ulrich Hadding: It's something else. It's not yet the fully integrated solution that I was talking about so many times. Hybrid inverter is a catch word for an inverter, which is able to be used also as a battery inverter, but not necessarily so. Meaning you can call it also battery-ready inverter, which becomes more and more the standard especially in Germany, where you have an attach rate with regard to batteries of about 90%. So here more and more consumers tend to invest into a more costly hybrid inverter, which allows them to use a battery but it could be used also without a battery, whereas our approach to the market has been to provide PV inverter and an additional battery inverter. So as this trend has strengthened, we have embarked on that cause as well. But let's say a little bit too late, and therefore we have this gap in the product portfolio, which will now be closed in the beginning of next year. Allow me a side remark in that regard. SMA has actually been the first company in the world who has introduced a hybrid inverter, but that was five years ago, and the market was not ready. So our innovation strength is certainly undermined by that fact. However, we have not been, let's say, clever enough to uphold this advance.
Jeff Osborne: Got it. That's helpful. I appreciate the backstory there. And then you alluded to lengthening lead times. Can you just update us what normalized lead times were, say, pre-COVID for the different segments and what they are today?
Ulrich Hadding: Yes. Usually, our string inverter business converts into revenues in between four and eight weeks. And our large scale project business converts into revenues in between 6 and 12 months. We have now seen several push outs, so that the lead time is, let's say, perhaps 9 to 15 months, I would see a three months delay here in that time span. And with regard to string products, we have to distinguish. In the residential area, the situation is more or less unchanged if you do not look for specialty products, like an EV charger or something. And in the C&I business, also the lead times have lengthened a little bit. So rather than four, we would rather -- four to eight, we would now see, let's say, 6 to 10 weeks anytime in average. Some products are much longer due to supply constraints.
Jeff Osborne: And then my last question is just on the semiconductor issues that everybody around the world is grappling with. Can you just articulate it? Do you believe it's getting better? I think you have give or take 10 different product lines. Are all of the product lines under production today or if you had to shut down assembly lines, because particular shortages of particular bespoke components that are needed in individual products? Can you just give maybe us a bit more detail?
Ulrich Hadding: Sure. First of all, all product lines are under operation. We had a few of those 10 to 12 product lines being shut off for, let's say, a few days in between or to reuse it from two shift to one shift due to those supply constraints. But right now, all are under operation and we don't see shifts being canceled in the coming weeks. The outlook is, however, still somewhat uncertain. We have, as you know, the usually advanced -- well in advance, 12 months in advance the critical electronic components. But if the market demand deviates from that estimate, we also have to look then on short-term demands and that might put us into trouble. If everything unfolds as planned, we won't be affected by this at all. But history tells it never unfolds as planned. And therefore, we will still see some difficulties in H1 that becoming better in H2.
Jeff Osborne: Makes sense. Perfect. That's all I had. I appreciate your insights.
Ulrich Hadding: Yes. Thank you, Jeff.
Operator: All right. [Operator Instructions]. Next, we'll go to Lasse Stüben with Berenberg.
Lasse Stüben: Hi. Good afternoon. Thanks for all the details. So if I just -- two more for me, if I may. Just on the Large Scale division, I was just quite surprised to see such a big jump in the order intake just given what's going on in the U.S. in the ITC and the delay there. Could you give some more color and sort of what's driving the market there? And how much visibility do you have on those projects? You already sort of just alluded to Jeff's question about the lead times, but just on the visibility of those projects would be helpful, because I would have expected that to come down or not be as high as it has been historically in Q3 and also Q4. So that would be helpful. And then we can do the questions one by one.
Ulrich Hadding: Yes. The visibility in that area is not that high, I have to admit that. And that is due to the fact that more and more customers are not only installing large ground-mounted installations, but are thinking about combining that with stationary storage devices. And that needs much higher arrangements, preparations, et cetera. And at the same time, the reason why we are sought after so, so well, because that is the more complex the situation becomes, the more you rely on SMA as the most experienced company in that regard. The situation right now is also characterized by it becoming less an amount of projects, but those becoming bigger the whole time. So the visibility is not really well. But I think what gives you the answer to your concern or to your question is SMA is sought after due to its innovation strength, and especially its offerings with regard to combining PV with stationary storage systems.
Lasse Stüben: Super. That's helpful. And just to follow up on that, has there been a noticeable change in the competitive landscape in the large scale projects? We have seen companies exiting this market. So I'm just wondering if that still seems to be the end market, which is still under most pressure on the pricing side, simply because of the volumes. But is that becoming less competitive in terms of also getting profitability in this division?
Ulrich Hadding: Yes, it depends on the region. The U.S., which still does not allow Huawei to enter this even large scale market, the situation is unchanged. You have SMA, you have Sungrow and you have power electronics. And they all give and take year-by-year some market share to the others lose or win, but they are always the same three. And here we do not see bigger changes. But with regard to Europe and APAC, we see Huawei grabbing considerable market share from the others, with the exception of Australia, which happens to be our second biggest market. So we are fine there as well. But with regard to the other countries, you have more and more strings of suppliers, especially Huawei, trying to get also into large installations, ground-mounted installations. So that is something to be considered and to be observed from our side.
Lasse Stüben: Okay, super. And then just changing to the residential market, that just seems to be remaining at a very good level, sort of across the board in the industry. I'm just wondering in terms of -- because of the supply chain and the component prices, what are the price increases that the end customer sees? If this supply chain situation continues well into next year, I just wonder sort of on the demand side, how willing are resi customers to pay higher prices, if that's even the case? So I'm just wondering if you can give an insight on the magnitude of the increases in prices for the end user, if you will.
Ulrich Hadding: Yes. I think that is something I probably shouldn't answer because I couldn't really talk only with regard to the inverter. And the inverter makes about 10% of the investment. The decisive factor is the module prices. And the module prices are up, sometimes even 40% in comparison to last year, sometimes even higher. And that is certainly something that will be seen by the consumer. However, in this equation, let's say, on the overall bill, the increased costs for the inverter is not noteworthy even. And there is certainly something that would not bring any customer to the decision not to buy this inverter, but rather go for another inverter. The price will never be the issue here. It's always about the offerings, the features, et cetera. But the module price as such may lead to an overall and temporary decrease in demand in the home sector waiting for the module prices to fall again.
Lasse Stüben: Okay, understood. That makes sense. And then just a final just a small housekeeping question, again. To some of the warranty provisions and the reversals that I think I saw in the report, but just to confirm. That wasn't really a noteworthy one-off in Q3, right? I think you said a single -- low single digit in the report or --
Ulrich Hadding: Yes, it’s mid single digit, yes, 6 million.
Lasse Stüben: Okay. And that's all booked in Q3?
Ulrich Hadding: That was booked in Q2 already.
Lasse Stüben: Q2, okay. Sorry, I must have missed it. Okay, so nothing additional in Q3. So that’s just every six months, H1 and the full year?
Ulrich Hadding: Yes, exactly.
Lasse Stüben: Perfect. Thanks a lot. That's all my questions.
Ulrich Hadding: Thanks, Lasse.
Operator: Okay. Next question will be from Jan-Erik Schmidt with EB-Sim.
Jan-Erik Schmidt: Hi. Thanks for taking my question. I'm just wondering about capital allocation. So maybe we can first start off with the CapEx. I think you’re guiding for 55 million this year. That number is slightly elevated compared to the last years. Just wondering, has there been some under spending in the past years or what can we expect in the future? What's kind of like a normal like level, and maybe you can give a little color on how much kind of like capacity actually costs if we assume further growth is going to come?
Ulrich Hadding: Yes. First of all, the higher CapEx this year is due to a higher amount of activated R&D projects, about 10 million more than last year. So that's the deviation from '21 to '20, and that will continue for the entire year. But still, we are on the general cost to increase investments. You will certainly see that in '22 and in '23 that our CapEx, meaning investments into machinery and buildings is going to increase. The overall amount of capitalized R&D projects will probably not increase any more over the coming years. Also, the capitalization according to IFRS 16, meaning leasing obligations is going to be at about the same level. But the things that are of interest to us, the most meaning investments into production equipment, et cetera, that is going to increase due to our efforts to prepare for the production of the next generation’s machines, inverters, et cetera.
Jan-Erik Schmidt: All right. So can you give a little color then how much capacity actually cost? So how much would it cost to increase the capacity?
Ulrich Hadding: Yes. If we just look about capacity, that is not that difficult, because the machinery that we need could easily be rebuilt. That is not very capital intense. What we see is not just scaling up. What we see is new products coming to market, more integrated products in which you have the inverter, the battery and perhaps an EV charging device and especially skilled software, smart home software all being integrated into new machines. So that needs also a new platform and new production equipment, and that will see additional CapEx for the coming years. We are talking about high double digit investments over a streak of three to four years. Meaning that the part that we put into equipment and buildings might double next year and also in 2023, remain at that high amount will then go back again in '24 and '25. So the normal run rate we see is 20 million, 25 million that may increase to 40 million or even 50 million in the next two years, and then reduce itself again. I hope that is what you had in mind.
Jan-Erik Schmidt: Yes, that’s helpful. Thanks. And then just wondering, looking at the higher capitalized R&D and the highest spending on the machines that obviously lead to higher depreciation and amortization. Can that be compensated margin-wise or are we going to see a decrease basically in the EBIT margin?
Ulrich Hadding: Absolutely. No, that will still be compensated by higher EBITDAs.
Jan-Erik Schmidt: Yes, but on the EBIT level though?
Ulrich Hadding: The EBIT margin will not deteriorate due to those investments.
Jan-Erik Schmidt: All right. Okay. Thanks. And then just looking at your balance sheet, obviously, having a net cash position is something rare. Just wondering, is there any plans to change the capital allocation maybe going into M&A or, I don’t know, buybacks, dividends or whatever?
Ulrich Hadding: Do you mean it’s too high?
Jan-Erik Schmidt: Yes, you're basically leveraged. So just wondering to get a leverage level in and therefore having higher efficiencies capital wise?
Ulrich Hadding: Yes, absolutely understood. It's perhaps something that I have to embark on. And to give you some background, SMA has -- let's say, SMA is one of the few survivors of the early phase of the PV business. And the fact of the reason for SMA to survive as more or less the only German company from the last decade has been its high cash bolster. And that is why many stakeholders within SMA tend to have higher cash reserves than are actually needed. However, we are certainly aware of the market booming in the coming years. And of course, we do not want to stay at the sidelines, but rather participate from that growth. And in order to participate in that growth, we will invest and that will bring our liquidity down and will also leverage to a higher degree. So I would expect capital equity ratio to go down in the coming years continuously.
Jan-Erik Schmidt: And those investments would be M&A wise or is that just organic growth investments?
Ulrich Hadding: Both ways. We will, as I said, invest more into CapEx by building new machineries, et cetera, and new factories. But we are also on an opportunistic course regarding M&A opportunities in several areas, not just operation and maintenance, which I usually mention in this context, but also other businesses which are about to unfold. Just think of power to gas as something that we are already tapping into and doing some business at this point in time. That is something that will certainly -- the market will rattle itself and will shape itself in the coming three to five years. And we want to be a part of that.
Jan-Erik Schmidt: All right, great. Thanks.
Operator: All right. And we'll take our last question from Richard Alderman with BTIG.
Richard Alderman: Hello. Just on that last point, could I just ask? Are you implying then that you're trying to find a way into the green hydrogen revolution? Are you looking for a product source or some sort of structure that gets you into that? That will be my first question. And then just on the -- I apologize for asking this question again, but I just wanted to sort of get a bit more color on the situation with the shortage on components. Is it in your mind mostly semiconductors and chips, or is it a broader number of components across your 10 product lines? And then lastly on your '22 guidance, can I just check? Have you made the assumption that the projects that have been delayed this year all come back in 2022? And if so, are they all weighted towards the second half, the areas in Business Solutions, midsize developers, et cetera?
Ulrich Hadding: Okay. Thanks. Let me first say it's great to hear from you, Richard, wonderful that you are on the call. With regard to green hydrogen, we have -- just to give you an idea, already this year where everything with regard to green hydrogen is still in the pioneering phase, we already made at this point in time more than 6 million of revenues with regard to products into green hydrogen projects. And what is our offering here? It is a converter, meaning a machine that makes DC into AC -- sorry, AC into DC, because you need DC for the electrolysis. So it's just the other way around the inverter is doing. And that is necessary for every electrolysis procedure. So the market that is going to unfold, which we see as almost as big as PV regarding sizes to unfold in the next decade, is something that SMA is already active on and as an early mover, hopefully also as a sustainable player is expecting considerable revenues already to start in 2023, '24. So that is some color that hopefully helps you with regard to our appetite and our willingness to tap into that business. With regard to your second question, it is not only semiconductors that we are lacking. It is also very ordinary normal materials. And here we are still suffering under the COVID-19 pandemic in some countries, where we have lockdowns of factories due to some infections in the workforce, et cetera, and other cases like that, that we are not supplied with necessary cables, casing, et cetera. But the longer it takes, the more it concentrates on electronic equipment. And to your last question with regard to '22, we think that those postponed projects will unfold in Q1, but then we will have other investments being pushed out. And this development, then reducing itself in Q3 and back to rather normal business in Q4. But we do not see any cancellations so far. So that would mean those are not the same projects that will be pushed out into Q1 and then from Q1 to Q3, but it will be other projects that are then being delayed.
Richard Alderman: Okay. Thank you. And one follow-up question, if I may. Just try to reconcile your guidance for -- all the elements of guidance you've given us thankfully, kindly so far in '22 sales outlook and the comments you made around margins. Looking at your exit run rate in Q4 where EBITDA margin is likely to go to, it's going to be below 7%. Obviously, it's been trending down through the year from above 8% to below 7% if I'm reading the guidance correctly. And therefore if that trend continues through into the first half of 2022 with the issues that you've raised, it would imply a much higher margin in the second half of the year. You're sort of implying sort of 60 million to 65 million of EBITDA and roughly where consensus is now about 980 million, 990 million of revenue for full year '21. So your exit rate is going to be closer to 6%. And I'm just struggling to reconcile the current consensus of about 7.5%, 7.6% EBITDA margin on visible alpha [ph] with what you're saying about the delay in the actual acceleration. You're essentially saying it's going to be a very strong second half, unless I'm missing something, or are you assuming that you get another price rise in the first half of next year? Sorry, rather garbled but if you know what I'm saying.
Ulrich Hadding: Absolutely. And actually, you put the finger right into the wound. That is, if I would really know whether the market is going to accept those increases in order to compensate for higher sourcing costs, I would be able to give you the clear cut answers to your questions. As this is not the case and we do not have made up our mind on how we should assess that, I cannot go into that much more. But your assessment has been absolutely accurate about the situation.
Richard Alderman: Okay. So it would be fair to say that there is a bit of risk there if you can't pass through price increases?
Ulrich Hadding: Yes.
Richard Alderman: Okay.
Ulrich Hadding: However, we consider this, Rick, to be low.
Richard Alderman: Okay.
Ulrich Hadding: And the reason for that is that the price increase we already made today as of year-to-date have been accepted by the market without any discussion.
Richard Alderman: Right. Okay. Thank you very much.
Ulrich Hadding: You’re welcome, Richard.
Operator: All right. And there are no further questions at this time, sir.
Ulrich Hadding: All right. Then thank you very much for spending so much time with us today. I very much appreciate your interest into SMA and SMA share. And hopefully, you will join us on that course, which is going to be very exciting over the next years.  Please take '21 as the year that it is and that is an exception, an exception to the course on which SMA has embarked in 2019 again, and that is a course of steadily increasing profitability and higher revenues on the basis of its technological innovation strength. That is also the path that we are going to continue to follow in '22 and '23 in order to be in the game of the coming years. Thank you very much and have a great day.